Jonathan Mason: Okay. Well, good morning, everybody, and welcome to ConvaTec's 2025 Financial Results Presentation. Press harder. Usual disclaimers apply. So I'm going to start with an overview of 2025 and a little bit of what to expect 2026. Fiona will present the financial results and guidance, and then I'll come back and talk about where we are on our strategic journey and what to expect next. And then we'll be very happy to take any questions you've got at the end. 2025 was a year of strong delivery. It was the fifth consecutive year that we delivered organic revenue sales growth within our target range. That was supported by 8 new product launches that we've got underway at the moment. It was the fourth consecutive year of margin expansion, and it was the second year we grew EPS growth by double digit, and there's more to come on that. And the strong cash we generated enabled us to invest more to grow for the future and also to do some return to shareholders. So the growth is starting to compound. The flywheel is turning, and we are well set for the future. In 2025, there were some headwinds, and we delivered despite them, which demonstrated the resilience of this business. As set out on the chart, we're in 4 chronic care categories. These markets are growing structurally independent of the economic cycle, and that provides a broad base for growth. There's a high proportion of recurring revenues, especially where we deliver excellent customer retention, loyalty, satisfaction based on the service we provide. And we have strong market positions, which gives stability to the earnings. We make differentiated products and solutions. We're innovating to satisfy unmet customer needs. We're investing in the fastest-growing segments of our categories. And we've got the richest product pipeline in our history, which benchmarks pretty well with the industry. The growth is broad-based. We're not dependent on any one category or product or geography for our growth. And there are reimbursement dynamics in this sector. There always have been, there will continue to be, but we build in an expectation of those in our plans, and we grow through them. New product launches help us to overcome reimbursement pressures, and they help us to grow consistently ahead of the markets, strengthening in the results and the delivery. The increased cash we're generating is enabling us to invest more in CapEx steadily throughout the FISBE strategy period. And the operating margin, we've delivered consistently 4 years in a row of margin expansion. EPS growth was double digit for the second year in a row, and there's more of that to come. You can see starting from the bottom, operational cash flow -- excuse me, operational CapEx has been consistent at about 2.5% of sales. Last year, growth CapEx increased significantly, and we have a real opportunity here to invest to meet the strong demand. Dividend grew slower at the start of the period until profits caught up. Now that profits are growing faster, we are in our target payout range, and you can expect dividend to grow in line with profits going forward. On M&A, we've invested over $500 million over the period. Last year was a bit smaller. We will continue to be disciplined in acquiring only bolt-on investments, which increase our competitive strength in our focus areas. But this remains a priority area for us, and you should expect to see more investment here to increase growth going forward. And then last year, we managed to return $300 million by way of share buyback within our prudent leverage target of 2x EBITDA. So to summarize this introduction, what I'll say is we are consistently delivering against the targets we've set in the FISBE strategy and the targets we set 3 years ago at our last Capital Markets Day. The turnaround of the business from the poor state it was in when Karim arrived in 2019 has been delivered, and we're now ready to accelerate. With the rich pipeline of new product launches we've got underway and coming, supported by higher investment to grow the pipeline and capacity, we're increasing our target growth rate to 6% to 8% per annum from 2027. And we're looking forward to explaining how we're going to do that at the Capital Markets Day in 6 weeks' time. Thanks very much. I'll hand over to Fiona and to talk about the financial results and see you again shortly.
Fiona Ryder: Well, thank you, Jonny, and good morning, everybody. While I haven't -- while I have met many of you here today, for those who I haven't, I'm Fiona Ryder. I've been the CFO for about 6 months, and I've been at ConvaTec for about 4 years, working closely with Karim and Jonny on the delivery of our strategy. I'm delighted to be here today to present a summary of our 2025 financial performance plus our outlook for 2026 before handing back to Jonny for the strategic review and Q&A. We are pleased to report another strong financial performance for 2025. Organic revenue growth was broad-based across all 4 categories. Excluding InnovaMatrix, which I'll talk about shortly, revenue growth was 6.4%. Operating margin expanded by 110 basis points to 22.3%, taking our cumulative margin expansion over 4 years to 460 basis points. We delivered double-digit EPS growth at 16%. Our cash flow was strong with free cash to equity conversion of 101% under our new definition, which I will come back to later. This strong cash flow enabled us to increase investment for growth and for return to shareholders. Growth CapEx more than doubled, a 13% increase in dividend, a $300 million share buyback while delivering our net debt-to-EBITDA at target of 2x. These strong results demonstrate our track record under the FISBE strategy and are further evidence of our ability to deliver sustainable, profitable growth. In ConvaTec, we are really proud of this slide that shows our turnaround. Excluding InnovaMatrix, it's 5 consecutive years of organic revenue growth above 5% and 3 years above 6%. Margin is continuing to expand, accelerating EPS growth and strong cash conversion. In 2025, sales growth was broad-based across all 4 categories as this chart demonstrates, Infusion Care was the standout performer. On the right, you can see the impact of the significant market uncertainty in skin substitutes with InnovaMatrix sales down around $30 million year-on-year. Now let's look at sales by category, starting with Advanced Wound Care, where sales were up 4.1%, excluding InnovaMatrix or flat including. We saw good growth in North America and Latin America with an improving performance in Europe in H2. Our flagship brand, Aquacel Ag+ Extra delivered another good year, and we are very pleased with the launch of ConvaFoam, which is gaining share. InnovaMatrix sales decreased $30 million to $69 million, with H1 down about 13% and H2 down about 44%. As you know, from the 1st of January 2026, CMS has included -- has introduced a price rate of $127 per square centimeter, which represented about an 80% reduction for InnovaMatrix. As previously guided, this equates to a headwind in 2026 of around 2% of group revenue. As a result of the estimated impact on future forecasts, we have recorded a noncash accounting impairment of $72 million for our InnovaMatrix platform, equating to about 20% of the acquisition consideration. We still believe that InnovaMatrix is a highly effective product. beneficial for patients and trusted by HCPs. We look forward to it returning to growth in 2027. In Ostomy Care, organic growth was 4.5%. The highlight of the year was the performance of Esteem Body, our 1-piece soft convex pouch, which grew ahead of expectations and where we anticipate further strong growth in 2026. Growth was also supported by our updated Esenta accessories range. We were also delighted to secure our first group purchasing organization win in the U.S. in 5 years, and we followed this up with a further GPO win post year-end. Good U.S. growth was supported by continued new patient starts from our Home Services Group. Growth in Europe increased during the year and Latin America performing really well. In Continence Care, organic growth of 6.6% was driven by further volume increases in the U.S.A., backed by our outstanding customer service and our broadening product portfolio. We saw faster growth in sales of ConvaTec product relative to other manufacturers, which is now 59% of our sales mix given our improved product -- portfolio of products and faster growth of hydrophilic product, which was again over 60% of our revenue. We grew strongly outside the U.S.A. from a low base and international again contributed over 1 percentage point to the category growth rate. And then Infusion Care, where organic growth was double digit at 12.5%. Growth was faster in H1 as expected. There was continued strong demand in diabetes across both long-standing and newer customers as the penetration of automated insulin delivery over multiple daily injections is increasing. Outside diabetes, growth was excellent, led by infusion sets for AbbVie's Parkinson's disease treatment. Other therapies now represent 15% of our Infusion Care revenue, up from about 10% in 2024 with scope to grow further as a share of the category. We have a strong position in Infusion Care with increasing diversity across customers and products. We are confident that 2026 will see another strong year with high single-digit growth. Moving on to profitability. 2025 was another year of improvement. Operating margin expanded by 110 basis points or 100 basis points in constant currency, in line with progress over the last few years, where margin has increased 460 basis points since 2021. The strong growth in Infusion Care and the reduction in InnovaMatrix contribution results in movements in margin mix and OpEx, which broadly offset each other. Price and productivity contributed 30 and 130 basis points, respectively. Inflation was around 3% as expected, a headwind to margin of 110 basis points, and I would expect a similar level of inflation in 2026. We saw further material cost benefits from our simplification and productivity programs. G&A was down a further 50 basis points to stand at 6.8% of sales. This slide shows how we have delivered mid-teens growth in earnings per share. With operating profit up 12%, finance costs were down about $2 million, and our tax rate was steady at 24%, leading to a 15% increase in net profit, which with a reduction in shares led to 16% increase in earnings per share. Turning to cash. We had a strong year with free cash flow to equity of $362 million and a conversion of 101%. We have redefined cash flow to equity to better reflect the free cash available for capital allocation. We have separated operational and growth CapEx, increasing disclosure transparency, and we've adjusted for some small noncash items. Using our previous definition, free cash flow to equity was 61%. The main points to highlight are: EBITDA increased 12% from our improved operational performance. Working capital increased by about $40 million, in part due to the fourth quarter being our highest sales quarter. As this unwinds, we expect working capital growth to be lower than revenue growth in 2026. Operational cash payments of $64 million were unchanged year-on-year and cash adjusting items of $16 million were slightly below our guide of $20 million. Growth CapEx of $121 million more than doubled year-on-year as we identified compelling organic investment opportunities at high returns given strong demand for our products and our exciting product pipeline. We paid dividends of $140 million, and we completed a $300 million buyback in the second half. Net debt increased by $272 million with leverage landing at our target of 2x. Here is our outlook for 2026, reiterating our early guidance from November. We continue to expect 5% to 7% organic growth in group revenue, excluding InnovaMatrix. Group revenue will be second half weighted as product launches build. Following the significant CMS price reduction, we expect InnovaMatrix sales of around $20 million for the full year, strongly H2 weighted. On operating margin, we expect further progress in 2026 to reach at least 23%, irrespective of InnovaMatrix headwinds. This will be further underpinned by simplification and productivity improvements across operations, commercial and G&A. On profit phasing through 2026, I expect us to make modest margin improvements H1 '26 on H1 '25 and greater margin progress in the second half. This sales growth and margin improvement, coupled with largely unchanged finance and tax costs and the reduction in our average share count from our buyback translates to another year of double-digit EPS growth. Cash generation will be strong, targeting around 100% of free cash flow to equity conversion. Operational CapEx will continue to be around 2.5% of sales with growth CapEx increasing to drive organic growth. To wrap up, 2025 was a year of strong financial delivery. We hit our targets across sales, margin and EPS. 2026 will be another year of double-digit EPS growth as well as significant investments to accelerate future growth. From 2027, we are set to sustainably deliver 6% to 8% per annum organic growth, a mid-20s operating margin and double digit in EPS and free cash flow to equity. Our financial results are starting to compound. Thank you. And I'll now hand back to Jonny.
Jonathan Mason: Right. Thanks, Fiona. So we've said that ConvaTec is delivering against the FISBE strategy and that now is the time to evolve that strategy. We're not going to get into the details of the strategy evolution today. That will be at the Capital Markets Day. But I'll just spend the next few minutes expanding on the delivery to date and why now is the right time to evolve. This is a slide which Fiona just showed. It's known internally as my favorite slide. I'm not going to go through each metric, but just to show how the momentum is building. On sales, on margin, on EPS, on cash, momentum is building. We are becoming a stronger business with more to invest, and that sets us up really well for the future. And we've also shown before how that growth is broad-based. All 4 categories are contributing to the growth, as you can see from the chart, 4 strong categories working together, and that's despite the reimbursement headwinds that they have faced along the way. That growth is supported by new product launches into each category, as you can see from the colors on this chart. We've got 8 products in the market now launching underway, and we've got 8 more to come across 2026 and 2027. And then at the end of 2027, guess what, we're not going to stop. There's more to come. There's more in the plans, and we will be describing what that is at the Capital Markets Day. So let me just take a moment to reflect on where we are now. ConvaTec is a strong and growing business. We've got strong leadership positions in markets that are fundamentally growing with high levels of recurring revenue. And that makes us very resilient as a business. And we've established a track record for delivering on what our targets were. But -- it isn't always right first time. It hasn't been as smooth as it could be. Growth last year was good. It was strong. But if we had executed seamlessly, it could have been even stronger, and that's what gives us confidence that we can grow faster in the future. We are learning as we go. This intensity of new product launches and this faster growth, these are new muscles for ConvaTec. The FDA letter that we received just recently was very disappointing. It relates to the management of our complaints handling and our corrective and preventative actions. We're working on that, but the FDA said it's not good enough. And we agree. So this is now top priority. We've got our best internal team working intensively on it. We're working with the FDA, with our customers and with external advisers because we're determined to become best-in-class in this area as quickly as possible. And our execution is improving. I mentioned that just now. Last year, as I said, growth was strong. It could have been even stronger. And the opportunity ahead of us is substantial. We're in these 4 categories that we are experts in. They benefit from a common set of technologies across operations and research and development. They are synergistic together. And the demand out there in the market is very strong. Our new product launches are working and they're winning share. And that's what gives us confidence that now is the time to be accelerating those sales growth targets. So going forward, based on this rich pipeline of new products and strong demand, we're going to be executing smoother, sharper, simpler, faster. And we're going to be backing our growth with investment in more pipeline and in more capacity in order to drive that faster growth. So let's look at that by category, starting with Wound Care. So in 2026, we expect mid-single-digit growth for Wound Care, apart from InnovaMatrix, which Fiona has talked about, and that's a special case. Mid-single digits is based on continued growth of our market-leading strong brand, Aquacel Ag Extra. Strong market share still growing very nicely. ConvaFoam is winning share now in Europe and in North America, and that will scale up. And we'll be launching through 2026, ConvaNiox, ConvaFiber and ConvaVac. And we'll be repositioning InnovaMatrix to win in the years ahead. In addition to those product launches, generating and disseminating clinical evidence is becoming a bigger feature of our product launch pipeline, and we'll be doing that for all of these products through 2026. And then from 2027, the growth is going to accelerate because all of these new product launches will be scaling up and InnovaMatrix will return to growth. If we look at Ostomy Care, in 2026, we're targeting mid-single-digit growth. Esteem Body is proving to be a really successful product launch, our one-piece soft convex new ostomy bag product growing very nicely. And in addition to that scaling up in Europe, U.S.A. and other markets. We'll be launching Flexi-Seal Air, our new fecal management product, and we'll be continuing to improve commercial execution across the continuum of care. That's where we've been really successful over the last couple of years. That's what's led to the winning of GPO contracts for the first time for a long time. Folks are saying, as regards ostomy, ConvaTec is back. And we're very proud of that. And in 2026, we'll start to build on those GPO contract wins. And then going into 2027, growth will accelerate because we'll win some more contracts Esteem Body will keep scaling up. We'll be growing our Esenta accessories portfolio. And very importantly, we'll be launching Natura Body. This is the 2-piece equivalent of Esteem body important for the U.S. market, which is more of a 2-piece market. We'll be very happy to see Natura Body launched, expect it to be just as successful as Esteem Body, and that will support our faster growth going forward. In Continence Care, in 2026, we're expecting mid-single-digit growth there, too. This business, we're very big in the U.S. As we've said before, this is based on excellent service. Our Home Services Group has customer satisfaction scores, which are really world-class, high customer retention, high customer loyalty, and we continue to grow share to grow volume despite being clearly the market leader. Through that growth, the proportion of ConvaTec products that we sell is increasing because our product portfolio is improving. We launched GC Air for women a while ago. It's growing. We're going to be launching GC Air Pocket, which is for men and GCS Air Set, which is Unisex in 2026 in Europe first and then 2027 in the U.S. and we'll also be launching Cure Aqua, which is starting in the U.S. So new product launches coming in Continence Care, which will underpin that growth. And then it will accelerate from 2027 as these new products build and as we expand the excellent customer service model outside the U.S., where it is still very small. And then Infusion Care. We're targeting high single-digit growth in Infusion Care in 2026, which is consistent with what we've been targeting over the last few years, although we have delivered a bit higher than that, but the plan is high single digits for the year ahead. It's going to continue with further diversification of products and customers. The technology in this area is evolving. Our customers' technology in pumps is evolving very quickly, and our infusion sets can service the whole spectrum of pumps across the industry. It's strong demand out there. And whilst we grow through 2026, and as I've just referenced with regards to the FDA's observations, we'll be improving our system for complaints validation and for corrective and preventive actions, following up on those customer observations. And then from 2027, we will be accelerating growth in Infusion Care. We'll be investing significantly in more capacity, and that will be in Inset Guard to service the diabetes sector. And in Neria Guard, for the other therapies, principally Parkinson's. But there are other therapies in addition to Parkinson's that we will be developing as well. So very strong demand for Infusion Care, strong growth to come. So let me conclude then by saying that ConvaTec is delivering. This -- we've described a resilient business model, which is delivering through the headwinds, and that growth is sustainable going forward. The simplification and productivity agenda that we have been running for the past few years has got further to run. That's what will lead us to be able to expand operating margin further in operations, in commercial and in G&A to get to our target of mid-20s, which we're still focused on. And growth is starting to compound. Double-digit growth in EPS is what you should expect going forward. And that will be based on an acceleration of the top line. So really pleasing that this rich pipeline of products that we're launching into the market, they are working. They're gaining share. And this pipeline is the richest we've ever had. And we think, as I've said, it benchmarks very well against anyone else in the industry. And as we learn with all of these products, as we grow faster, our execution is strengthening. And that plus the CapEx that we will commit to supporting more pipeline and more capacity is what will underpin our faster growth rate. So we're increasing our target growth rate from 2027 to be 6% to 8% per annum. And we'll tell you more about how we're going to deliver that at Capital Markets Day on the 9th of April, and I hope to see you all there. Thanks very much for your attention. We'll be happy to take any questions you got.
Unknown Executive: Jonny, just we'll take questions from the room. Then there's 65 people on the call. We gather there's been some issues with the website streaming. We apologize for that, but the call is live. So we'll go room, then call and then website. First question, Hassan.
Hassan Al-Wakeel: Hassan Al-Wakeel from Barclays. A couple, please. So firstly, on Ostomy Care, can you talk about how you're seeing new patient capture and share dynamics in the U.S. and how you see some of these GPO wins to change that in '26 and then Natura in '27? And then secondly, on the margin, you expect to lose around $50 million of InnovaMatrix revenue in '26, a 2% headwind versus the 1% to 2% expectation that you talked about. Can you talk about some of the offsets to this loss of revenue and your confidence in the building blocks in being able to drive that at least 70 basis points of margin expansion in '26?
Jonathan Mason: Sure. Ostomy development in the U.S. is building nicely. We were declining for some years until our new leadership took over and our commercial execution improved. In the last few years, our new patient starts have been stable, and we've been building share through an improved product pipeline. That's been helped by the improvements to the Esenta accessories range and now most lately by the launch of Esteem Body. But it's the improvement in commercial execution, the education offer to health care providers, the me+ service support to patients, which has been leading our relationships to strengthen and to us gaining those GPO contract wins. We expect this to build further going forward. We expect to be gaining share, gaining share in new patient starts as well and for that to accelerate when Natura Body is launched in 2027. But it's a steady build. We've said mid-single-digit growth for Ostomy Care in 2026. That's what we are confident of delivering, and then it will accelerate after that for those reasons described. Do you want to talk about?
Fiona Ryder: Yes. Thank you, Hassan. So we are guiding in 2026 to at least 23% operating margin. We have delivered 460 basis points over the last 4 years. And our top line will be growing, excluding InnovaMatrix, 5% to 7%. That, coupled with the simplification and productivity programs that we continue to drive will underpin the margin expansion. We have a track record there.
Sebastien Jantet: It's Sebastien Jantet from Panmure Liberum. Two questions, if I may. So first of all, just on the medium-term margin kind of guidance of between 24% and 26%. We're kind of in the early months of '26. That's not that far away now as we look into '27. So I'm wondering what are the things that make it land towards the top end of that guidance versus the bottom end of that guidance? And then the second question is just you've talked about factoring in reimbursement headwinds in your guidance. You've upped your revenue guidance. Perhaps give us a sense of what are you factoring in for reimbursement headwinds within that revenue guidance?
Jonathan Mason: Do you want to take the first one?
Fiona Ryder: Yes. So we are guiding or have guided to mid-20s by '26 or '27, and we still hold to that. Now it's likely to be at the lower end of that. In '27, it will be closer to 24%. I think we've said that a number of times. And we think mid-20s is the right place for our margin. We think that benchmarks well. It allows us to continue to invest in top line growth.
Jonathan Mason: Yes. And as regards to the detail of the reimbursement headwinds, I don't want to get into the specifics product by product. Over many years, the headwind has been quantified as roughly 1 point of headwind. And we've used a point of headwind per year across all the categories. Now it varies depending where different countries at different times. We've had different examples of where that's come from. The intensity of it in the U.S. has been more than normal over the last couple of years, and the headwind has been a bit higher than that. But before that, we had tenders in the NHS. We've had the French hospitals reducing the quantum of products that they have issued. We've had German pressure on silver reimbursement. So there's always been something with the new product launches and with the pricing COE that we have introduced and has been delivering now for a few years, we've managed to counteract these reimbursement headwinds. And in our targets of 5% to 7%, we include the headwinds in there and that we will deliver through them. And likewise, for our accelerated growth, 6% to 8%, that is after absorbing whatever the reimbursement headwinds will be in the future.
Kane Slutzkin: It's Kane Slutzkin from Deutsche. Just guys, on the growth side, I'm just wondering, are you being a bit conservative on the Infusion Care guide? I mean you've sort of been beating it for a while. On Ostomy, just following up from Hassan, just you were sort of saying you're going to accelerate from '27. You've got obviously another GPO win. Are we looking at sort of a mid- to high single-digit grower in time? Is that kind of what you're implying? And then just on the M&A story, how is that pipeline looking? And in the absence of anything, are you -- I mean, would you be considering further buybacks? Or do you have enough on your hands in terms of the increased CapEx?
Jonathan Mason: So are we being conservative on Infusion Care? It's quite interesting to compare 2 years ago when GLP-1s came out, although stories were around, everyone thought the Infusion Care business was in trouble. Far from it, really strong demand. Our products, as I mentioned in the presentation, are able to service all sorts of different pump technologies and the prevalence of pump technologies in the market is increasing significantly, both the penetration of pumps in diabetes compared to multiple daily injections. That's growing nicely, but also in Parkinson's therapy and in other therapies, too. So strong demand pipeline going forward. we have delivered more than high single digits over the last couple of years, just about in Infusion Care. The customer orders are predictable, but not uniform, right? They are a bit lumpy, but we know what they are because we talk very closely, work very closely with our customers. And as we look out into 2026, we think it will be high single-digit growth. So I don't think we're being unduly prudent there. I think that's the best basis to plan on. Thereafter, we do think there's an opportunity to accelerate because we'll have more capacity coming on stream and the therapy application areas will be growing. And then you asked about Ostomy Care. Look, yes, I think that is a reasonable expectation. It's mid-single digits in 2026, and we think we will accelerate growth thereafter when we have the full portfolio of products with which to compete in the markets in U.S. and in Europe. So I think you can expect a bit stronger growth than that going forward from 2027.
Fiona Ryder: And then I'll pick up the question, sorry, on M&A. So we have really clear capital allocation priorities, invest organically in the business, pay the dividend, which we are in the middle of our range for this year. M&A opportunities when they are attractive and accretive to growth and returning excess capital to shareholders. So every year, we go through the process of looking for the right M&A opportunities. We look at the opportunity to invest organically. For 2026, we see great opportunities to invest organically in the business, as we have said, with the increased growth CapEx. And if we don't find any M&A opportunities, we will return capital as we did in 2025, but we continue to look.
Jack Reynolds-Clark: Jack Reynolds-Clark From RBC. The first is on the midterm guidance. So what are your expectations for the kind of the phasing of that new revenue or updated revenue guidance beyond 2026? And Fiona, you mentioned that you still see mid-20s is the fair level of margin for the business. I guess, would you expect it to trend towards the upper end of that range over the next few years? What are your expectations for margins in a few years' time for the business? And then my next question was on ConvaNiox. You mentioned the slow launch in Europe initially ahead of a more accelerated launch later on. Kind of what feedback are you getting? How is the launch progressing versus your expectations? And what pricing are you able to take there?
Jonathan Mason: Do you want to take the...
Fiona Ryder: Start with the first. So midterm guidance, well, we're upgrading that today to 6% to 8%. I'm not going to guide any more specifically about what that will look like in those years. You asked about the margin being at mid-20s. Yes, we think that margin at mid-20s is about right for us. So we're guiding to at least 23% for 2026. You can expect that to increase a little more over the next couple of years. But then we think staying in the mid-20s would be right for us. And then on ConvaNiox?
Jonathan Mason: Yes. Yes, prioritizing investment in growth going forward. Once we get to mid-20s, then there's plenty of things to invest in. ConvaNiox, yes, it is going really well. We've got a few hundred patients now who have been treated. We are deliberately taking that slow and building evidence. We're working with key opinion leaders, and we'll build the network of health care professionals from there. Everything we've seen so far reconfirms the strong performance of the dressing. We believe this is a dressing that does things that nothing else in the market does. It's that combination of antimicrobial action and also accelerating the wound healing. We've got one RCT, as I'm sure you've seen from a while ago in the U.K., which showed twice as fast healing rates and 3x as fast wound surface reduction as standard of care. We're now running another RCT in the U.S. to build further evidence. But don't expect material sales in 2026. It's about building that evidence base and then sales will grow thereafter. I think -- and we don't want to talk about reimbursement levels at this stage.
Graham Doyle: It's Graham from UBS. Can I just ask 2? One on Infusion Care, to the point on the CapEx expansion. And obviously, the -- you alluded to the acceleration potential. Is it reasonable to say, given historically, you've had these minimum volume contracts that it's very visible as in this CapEx is for something very tangible and visible that you can see in the next few years, and that's the inflection. And then on that, could you maybe talk to the return on invested capital expectation for that CapEx as well, please?
Jonathan Mason: Yes. Well, let me start. I think what you might be asking in terms of visibility is, yes, we work closely with our big customers in expansion plans and have got with them long-term contracts. And so -- and in particular, that contract base has been strengthening as the demand in the market increases. So we're very sure that we'll be getting good returns on this CapEx that we're committing on the basis of those long-term contracts. Fiona, do you want to...
Fiona Ryder: Picked up the returns. Yes, we assess all of our projects and ensure that the returns are accretive to our group returns. So yes, these Infusion Care ones certainly fit that criteria.
Graham Doyle: And maybe a really quick one. On the -- you mentioned earlier, if the execution is better, the growth would have been better. What wasn't like super hard? What's like the key learning point from last year?
Jonathan Mason: Look, as I said, we're learning as we go. And I think the main area is handoffs between different functions within the organization. We've got a really great team of scientists doing R&D. We've got a great team of operations executives running our factories. We've got great teams in commercial out in the markets themselves. The handoffs, it's a bit like a relay race, handing that baton over wasn't as smooth as it could have been in all cases. We ended up with a few isolated back orders here or there, which if we hadn't had, we'd have sold even more. So I don't want to make this a big deal, but it's just to say we grew strongly despite learning. Now we are learning and we're getting better, we'll grow even faster.
Beatrice Fairbairn: Beatrice Fairbairn with Berenberg. So I had a few on InnovaMatrix. So firstly, what level of confidence do you have in reaching the $20 million in sales guided for 2026? Also in the release, you noted that you are reorganizing your sales team. Just to clarify, has this now been completed? And could you provide some color on what changes have been made and how you expect it to impact? And then kind of finally, how do you see InnovaMatrix sales in inpatient channel developing in the midterm given the changes we have seen in the outpatient setting?
Jonathan Mason: Yes, let me take that. So it's obviously a highly uncertain situation in the market as regards to all skin substitutes. InnovaMatrix is a great product, and we are pleased to be able to report that volumes are strong still. Our volumes are, despite the uncertainty, as strong as they were last year and have been, if anything, building a bit since Q4. So the sales have come down a lot because of the price, of course, they have, but we are still getting strong response from health care professionals and patients really like the impact of these dressings. We have finished the reorganization of the sales force. That was an unfortunate necessity. We've always said there was a very high level of variable cost in this sector of the market. And in particular, some of the commercial execution was very expensive. So we've resized that to be appropriate to the target markets going forward. We've got national coverage now, which is a bonus for the InnovaMatrix. And so our sales force is spreading out further across the U.S. to sell where we can. Last year, we started to sell beyond the indications of venous leg ulcers and diabetic foot ulcers. Those are still the 2 biggest, but sales are starting to grow outside of that area, too. We're still primarily focused in physicians' offices. But I think one of your questions might have been about hospital channels. That's an area we will get to, but it's still quite small.
Unknown Executive: Thank you. I think that is the questions in the room. I know we have, certainly Veronika has a question online.
Jonathan Mason: Okay.
Unknown Executive: So if you could go to that, please. As a reminder, if anybody would like to ask a question on the phone line, the moderator will inform them how to.
Jonathan Mason: Can we go to the telephone questions now, please?
Operator: [Operator Instructions] Our first question comes from Veronika Dubajova from Citi.
Veronika Dubajova: I'm going to try to sneak in 3, if I can. The first one is just trying to reconcile the InnovaMatrix guidance for $20 million. Just if you can help us understand the price versus volume expectations that you have. I think just simplistically on my math, if price is down 80%, you'd be assuming volumes are up 50%. Obviously, I appreciate, Jonny, you said you feel like the volumes are maybe picking up a little bit versus where they were in November and December, but that would be a pretty substantial pickup that's necessary through the rest of the year. So if you can just kind of help us through the building blocks of that, that would be super helpful. Then my second question is just on Wound Care. Obviously a bit surprised by where the growth rate ex-InnovaMatrix came in, in the back half of the year. I think there was maybe some hope of some acceleration moving from H1 to H2 instead we sort of ended up at sub-4% stripping out InnovaMatrix on an organic basis. Kind of what gives you confidence that you can accelerate that growth rate there? And I guess, especially if foam is performing well, can you talk through the things that are not and your ability to kind of influence that growth and drive some improvement there that's clearly important to your midterm ambitions? And then my final one, obviously, I appreciate that tariffs today might not be the same as they were tomorrow. But as we head closer to the end of the Section 232 investigation, I'm just curious what your thoughts are on what's the most likely outcome there? And what you would be able to do should the Nairobi Protocol not hold?
Jonathan Mason: Okay. Quite a range there, Veronika. Thank you. Look, let me start and then maybe you'll see if you want to add, Fiona. On InnovaMatrix, first of all, $20 million of sales, yes, that does anticipate that our volumes grow significantly later in the year. And you've done the math, price down around 80%, sales down less. Where the volume growth is going to come from later in the year. And as we've just said, we have already reorganized the sales force is, I guess, 3 areas. First of all, we have a wider geographic scope now that we're covered for the whole country. That's one part of the growth. We're growing in other indications outside VLU and DFU as well. That's another part of the growth. And we are anticipating that some of the competition is going to fall away as the year goes by. Now we haven't seen that yet in any material way. People still have inventory. People are still running legal challenges to the price change that was made. But we are planning on the fact that, that price change will stick. And when it is confirmed as sticking, some of the operators in the human tissue area who have higher cost of sales than us, significantly higher, they will fall away, and that will provide a volume growth opportunity. So that's how we're planning on InnovaMatrix. And it does mean, I think as Fiona referred to before, that we see the InnovaMatrix sales as being stronger in the second half than the first for those reasons. On Wound Care, Volume, it was hard to catch exactly the question. But I think it was how are you going to accelerate wound care from where it delivered in 2026? I think that seems obvious to us anyway. We're launching 3 new products. So Aquacel is still growing. ConvaFoam is building and gaining share nicely now. It took a while to get started, but it's gaining share nicely now in Europe and in North America. And then we've got ConvaFiber coming. ConvaFoam and ConvaNiox are going to be very small in 2026, but they will start to build through 2027. So that's where we see the accelerated growth in Wound Care coming from over the next few years? Do you want to talk about tariffs?
Fiona Ryder: Sure. Thank you, Veronika. So yes, tariffs are a moving piece at the moment, but we do expect the Nairobi Protocol to hold for our products that are currently covered by it. The Nairobi protocol has held since the 1970s, I believe. So I think it is unlikely to be challenged. If it is, we would be in a similar position as our peer group, and we would deal with it then. But as I say, we are expecting the Nairobi Protocol to hold.
Unknown Executive: Any more questions on the phone? I think there's 2 more.
Operator: Our next question comes from Susannah Ludwig from Bernstein.
Susannah Ludwig: I have 2, please. And I guess apologies in advance if you've already addressed them as I was on the webcast and as I highlighted, there is a disruption. But first, would be on Infusion Care, which was the fastest-growing category. Could you quantify what percent of Infusion Care growth in 2025 was driven by nondiabetes versus diabetes? And how should the mix between diabetes and nondiabetes evolve over the medium term? And how as nondiabetes grows, does that impact margins from that business? And then second, on the FDA warning letter, in the press release, you highlighted that there was not an issue related to product safety. However, the warning letter does cite 5,000 complaints related to leakage and potential under-delivered -- insulin. What makes you comfortable that there is not a leakage problem with some of your infusion sets?
Fiona Ryder: Thanks, Susannah. So I'll take the first question, then I'll hand to Jonny for the question about the FDA. So look, we're really pleased that the share of nondiabetes product in our Infusion Care category continues to grow. It was 10% in 2024. It was 15% of the category in 2025. And we expect it to continue to grow as a proportion of the category. And you're right, the margins for nondiabetes are slightly higher than those in diabetes. And so it will continue to support our margin growth for the group.
Jonathan Mason: On the FDA commentary, leakage can be caused by lots of different things, including inappropriate application, reasons that are not to do with product inadequacies. What the FDA commented on was that we were not pursuing rigorously enough these observations from customers to be sure that it wasn't any product-related weakness. So -- and look, we are -- we agree with their observations. We are pursuing more vigorously chasing down every bit of information we can. It's more complicated in this category because any comments from customers -- any comments, excuse me, from people using the devices go to our customers. They don't come to us. And it's through that interface that we have to be more rigorous in making sure that we've chased down every possible piece of information and every bit of learning. We've done some investigations before and -- but more importantly, since then, a lot of evaluations, and we haven't found any deficiencies in products. And as I say, the FDA didn't point to that either. What they said was you're not managing the information flow tightly enough, and we will get better at that.
Unknown Executive: I think there's one more online -- one more telephone question.
Operator: Our final telephone question is from David Adlington from JPMorgan.
David Adlington: So firstly, I just wanted to more specific in terms of the -- what you've assumed in terms of CBP in terms of pricing pressure in 2027. You sort of answered in the around in terms of pricing pressure, but maybe just specifically on CBP, what your assumptions there are? And just on InnovaMatrix and the write-down, I think, again, apologies because the webcast wasn't great, but I think you've written down about 20% of that $72 million. So that leaves about $280 million left. But obviously -- yes, fairly significantly as you're now valuing the asset at 14x sales. I just wondered why you only write it down by 20%.
Jonathan Mason: So I take the first one? So CBP, our assumption hasn't changed from what we described last summer, which is that we think if it's implemented, in both Ostomy and Continence categories, then the headwind will be between 1% and 2% of our group revenue. Now 2% is based on the fact that 7% of our group revenue is exposed to the CBP being the Medicare revenue in those 2 areas and that 30% is the average of CBP impacts over the full extent of the CBP process with CMS and also that there isn't any more profit in the industry. We don't think a price reduction of more than that is possible to push through. And then -- so that would give you a headwind of 2%. We think we're in a strong position to gain volume. The CMS has expressed a preference for there being 7 or 8 distributors in each sector compared to the thousands that there are now. Granted some of these thousands are pretty small. But as some of those smaller distributors decide not to participate and wouldn't win anyway because they can't fulfill the national supply objective, which has been required or expressed as a condition for the CBP, there's going to be market share gain opportunities for stronger players like ourselves. So that's why we've expressed a range between 2 and 1. Let's see how it develops.
Fiona Ryder: I would just add to that, that the CMS has said that the CBP, if implemented, would be in 2028, not 2027. And then I'll take your second question, David, which I think was -- I was struggling to hear you a little bit, but why did we write down $72 million of our InnovaMatrix assets? Well, we have followed a really clear approach here. We have taken prudent and risk-adjusted forecasts and the impairment that has fallen out is $72 million. As Jonny said, we are still selling the product. The product is selling well. Volumes are increasing, and we believe that we're holding it at the right value at the moment.
Jonathan Mason: Any more, David?
Unknown Executive: I think that's all the questions. So thank you, everybody, for coming.
Jonathan Mason: Okay. Thanks very much indeed. We look forward to seeing you in about 6 weeks' time when we'll have more to share. Thanks for your questions today.